Operator: Good afternoon. Thank you for attending GCT Semiconductor Holding, Inc.'s First Quarter 2025 Financial Results Call. All line will be muted during the presentation portion of the call with the opportunity for questions-and-answers at the end. Joining the call today are John Schlaefer, GCT's Chief Executive Officer; and Edmond Cheng, CFO, to discuss the first quarter 2025 results. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-Q that will be filed today, which provide further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statement. I will now turn the call over to John Schlaefer.
John Schlaefer: Thank you, and thanks to everyone for joining us today for our first quarter 2025 earnings call. I'll focus my remarks on our 5G chipset and important partnership updates within our 2025GCT-Year of 5G program, and Edmond, our CFO, will provide details for our first quarter financial disclosure. And without any further delay, I am pleased to say that we've officially begun the 5G product era here at GCT. And as I use the one-yard line analogy during last quarter's earnings call, we are officially in the end zone. As a result of our focused efforts under the 2025GCT-Year of 5G program, we are currently evaluating our finalized 5G chipset in our own lab facilities. This is following successful acceleration and completion of our production milestones through early May. This marks a monumental milestone for us here at GCT, a binary catalyst, as we are moving directly to 5G customer sampling starting this month, which will then lead to volume shipments in Q3 and beyond. And within our 2025GCT-Year of 5G program, we have also further accelerated and prioritized our partnership and customer programs that are focused on 5G. On our last earnings call, I already mentioned that we have taken action to accelerate the ongoing announced and unannounced programs with world-renowned partners like Globalstar, European Tier 1 telco supplier, Aramco Digital, Samsung and Kyocera. Additionally, we have recently signed a letter of intent with Orbic North America to jointly develop and supply a mobile hotspot and FWA gateway utilizing a Verizon-certified 5G module based on our new 5G chipset. The LOI outlines the framework for collaboration between the parties, including terms related to volume purchase for supply to Verizon and other operators. Before I turn the microphone over to Edmond, I do want to stress again how pivotal this moment is for us here at GCT. The 5G chipset is now becoming available and is finding its way into our customers' products. And while we expect certain use cases to continue to benefit from our advanced 4G solutions, we are fully focused on driving sales for our 5G chipsets and expect Edmond to have a very different story to tell regarding our income statement in our future earnings calls. And with that, Edmond?
Edmond Cheng: Thank you, John. As John said, we are incredibly excited about the impact 5G will have to our company and specifically to our income statement and balance sheet starting from the second half of the year. In the meantime, and until we see that impact coming through, I want to remind all listeners that we are reporting the transitional 4G results. They are not in all representative of what we are expecting in the second half of the year once 5G chipset sales are occurring. We anticipate that the average selling price of our 5G chipset will be approximately 4x higher than that of our current 4G offerings. As we focus on sampling and launching our 5G chipsets, we have fully aligned our internal resources with this strategic priority, including our marketing and sales teams' focus on new business development activities in building the potential pipeline. Turning now to our first quarter 2025 financial results. Further details can be found in the 10-Q that will be on file with the SEC. Net revenues decreased by $2.8 million or 85% from $3.3 million for the three months ended March 31, 2024, to $0.5 million for the three months ended March 31, 2025. The reduction was primarily attributable to a decrease of $2.3 million in product sales and a decrease of $0.5 million in service revenue. The decrease was due to no 5G platform shipments in the first fiscal quarter of 2025 as compared to two 5G platform shipments in the first fiscal quarter of 2024, which account for the most of the differences. Again, when modeling our expected upcoming 5G revenue, we will be benefited from both higher global market demand and market prices in the 5G chip market. Cost of net revenues decreased by $0.9 million or 69% from $1.3 million for the three months ended March 31, 2024, to $0.4 million for the three months ended March 31, 2025. This decrease in the cost of net revenues was driven primarily by the reduction of our product sales and involvement in service projects. Once our 5G chipsets have been launched, we expect new service revenues in terms of NRE in assisting our customers in their product development projects in using our 5G chipsets. Our gross margin decreased to 18% for the three months ended March 31, 2025, from 60% for the three months ended March 31, 2024. The gross margin for our service business was at 50.4%. This gross margin for our product sales was at negative 120%, mainly due to the low volume of product sales, which cannot cover the overhead costs. Our gross margin is distorted by the low volume of product sales, which makes it less indicative of the underlying profitability of our future product sales, especially for the upcoming 5G product. Nevertheless, we are actively exploring measures to improve operational efficiencies and look forward to restoring product sales and service projects volume with 5G. Research and development expenses decreased by $1.4 million or 26% from $5.5 million for the three months ended March 31, 2024, to $4.1 million for the three months ended March 31, 2025. This decrease was primarily due to $1.3 million related to project-specific intellectual property expenses incurred during the first fiscal quarter of 2024. Sales and marketing expenses increased by $0.1 million or 12% from $1 million for the three months ended March 31, 2024, to $1.1 million for the three months ended March 31, 2025. This increase was primarily due to personnel-related and other costs. General and administrative expenses decreased by $0.2 million or 8% from $2.8 million for the three months ended March 31, 2024, to $2.6 million for the three months ended March 31, 2025. This decrease was primarily due to a $0.7 million reduction in stock-based compensation related to the vesting of performance-based funded shares in the first fiscal quarter of 2024, partially offset by a $0.3 million increase in business liability insurance premiums and $0.2 million increase in personnel-related costs, driven by our transition to public company operations during the first fiscal quarter of 2024. We closed the quarter with cash and cash equivalents of $1 million. We also had net accounts receivable of $4.5 million and net inventory of $3.1 million. As we advance towards securing external financing, our recently filed shelf registration providing up to $200 million in capacity, including a $75 million at-the-market facility, which will significantly enhance the Company's financial flexibility and expands our available funding options. With this, I will turn it back over to John.
John Schlaefer: Thanks, Edmond. In closing, we are thrilled about what is ahead of us. With the announcement of our 5G chipset availability under our 2025GCT-Year of 5G program, we are in the final stages of putting the product, customer and financial building blocks in place for substantial growth based on our 5G chipset launch and are excited about the impact of that for our company and for our stock as we value all of our shareholders. Finally, I would like to thank our employees, partners and our customers for their continued efforts and dedication to the Company, which ultimately drives our success as an organization. Together, we are focused on driving innovation, supporting the global transition to 5G solutions and delivering strong profitable growth. We are entering a new phase here at GCT and are thrilled to have you with us. I will now turn the call back over to the operator, who will assist us in taking your questions.
Operator: [Operator Instructions] Our first question comes from Craig Ellis with B. Riley Securities.
Craig Ellis: Congratulations on continued 5G progress. John, I wanted to start just by following up on one of the newer announcements that the Company has made, the announcement with Orbic on the 5G mobile hotspot for Verizon. Can you just talk a little bit more about how that relationship will proceed going forward and what you would expect for the second half of '25 and '26, even at a high level for what might be possible in terms of what you'd be able to do with that partnership and what you'd be able to ship?
John Schlaefer: Yes. Thanks, Craig. Yes. So, we're excited about the Orbic relationship. As you know, they're a major supplier into Verizon right now in the mid-tier space. And we expect to be a part of that actually going forward. So, the plan -- and not just for Verizon, but they have -- they're working with other operators around the world. So, I think that the -- we'll be sampling them as part of the activities for this quarter. And then they'll go through their normal process of implementing that in their device. We'll be working with them. I think we mentioned in our announcement that this will be module-based. So, we'll go through the process of actually providing them a module that we'll work on together. And also, we'll be working on hotspot and FWA gateway together, so for multiple operators. So, we're going to have to take this a step at a time. I don't want to get over our skis here, but we're very excited about this as we go into -- in the second half of the year and 2026.
Craig Ellis: Yes. So, the bottom line, though, is that this is something that's multiproduct and looks like it can be multi-region for you. So, without specifying specific volume numbers, there's a number of angles that the Company can engage with the product set with this one partner. Moving on and -- that was just my reflection back, John.
John Schlaefer: Yes. I agree with you.
Craig Ellis: Yes. So, moving on, can you talk a little bit more about the sampling that commences in the second half of this quarter for 5G? It sounds like Orbic may be one of the entities. But any color there? And then related to that, I think the Company conveyed that we'll be moving into commercial shipments in the second half of the year. Can you talk a little bit more about the breadth of that activity and what we can expect?
John Schlaefer: Yes. So, we've been talking about our work with our alpha customers for a long time, and we've done announcements about that -- about those engagements over the last six months. So, there's six customers that are -- in particular, that we'll be sampling first as actually primary activities. And then very shortly after that, and even in this quarter, there will be others that we'll be sampling. And then again, each one is going to have their own product focus, each one is going to have their own schedule. And so, we'll be working with as many as we can as fast as we can to move forward into the second half and then beyond that.
Craig Ellis: Sounds good. And then two more for me. First one is probably more for you, the second one probably for Edmond. As you get ready for the volume ramp in the second half of the year -- obviously, you've had a supply chain in place for some time. But now, we're turning the knobs a little bit as we get ready for 5G. How are you feeling about your supply chain's capability to move into volume production around the corner?
John Schlaefer: I think we've -- I mean, this is -- we've been doing this with 4G for a long time now. So, this is just a different product on the same supply line and the same relationship. So, I think that our supply partners are ready for this and are very excited about this as well.
Craig Ellis: Great. And then lastly, Edmond, for you, helpful color as you went through the income statement, especially with some of the specifics in OpEx. As we think about the general arc of things as we move into more intensive sampling and then volume shipments, anything that we should have our eye on with the OpEx line items in 2Q or the second half of the year?
Edmond Cheng: Craig, thank you for the question. As we look into the second half of the year and looking at our OpEx line, we don't expect our OpEx will run up the same type of scale as what our revenue will be in the second half. So, at this point of time, most of the major investment in R&D has been done in our 5G chips. So, we will be running the cost as we usually will do from that sense and we have a very tight control process, cost control process in place.
Operator: [Operator Instructions] I'm showing no further questions in queue at this time. That will conclude today's question-and-answer session. Thank you for joining us. That concludes our first quarter 2025 conference call. A replay will be available for a limited time on our website later today.